Operator: Ladies and gentlemen, thank you for standing by and welcome to the REX American Resources Fiscal 2015 Third Quarter Conference Call. [Operator Instructions] I would now like to turn the conference over to Doug Bruggeman, Chief Financial Officer. Please go ahead.
Doug Bruggeman: Good morning and thank you for joining REX American Resources’ fiscal 2015 third quarter conference call. We’ll get to our presentation and comments momentarily as well as your question-and-answer session, but first I will review the Safe Harbor disclosure. In addition to historical facts or statements of current conditions, today’s conference call contains forward-looking statements that involve risk and uncertainties within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect company’s current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with forward-looking statements are described in today’s news announcement and in the company’s filings with the Securities and Exchange Commission, including the company’s reports on Form 10-K and 10-Q. REX American Resources assumes no obligation to publicly update or revise any forward-looking statements. I have joining me on the call today Stuart Rose, Executive Chairman of the Board and Zafar Rizvi, Chief Executive Officer. I will first review our financial performance and then turn the call over to Stuart for his comments. REX is pleased to report another strong earnings report for the fiscal 2015 third quarter relative to industry dynamics. Sales for the quarter declined approximately 20% for the quarter primarily due to lower ethanol pricing. Sales were based upon 57.3 million gallons this year’s third quarter versus 58.4 million gallons in the prior year. Sales declined approximately 26% for the first three quarters of fiscal 2015 reflecting lower ethanol and DDG pricing. Gross profit declined from $36.5 million to $14.3 million for the third quarter as the crush spread was approximately $0.19 for REX in the current year versus approximately $0.59 in the prior year. Gross profit for the first nine months of fiscal 2015 was $41.7 million versus $112 million in the prior year, reflecting the crush spread was approximately $0.18 this year versus approximately $0.58 last year. Equity method income was $1.3 million this year versus $8.8 million last year for the third quarter and $7.9 million versus $24.3 million for the first nine months of the fiscal year. This reflects the lower operating performance of these plants consistent with the industry this year versus last year and the fact we discontinued recognizing equity income on the Patriot plant at May 31 upon the close of that sale. We did recognize a pre-tax gain of $10.4 million from the sale of Patriot during the second quarter of the current year impacting comparability for the year-to-date numbers. We have no interest expense in the current year as a result of paying off the debt of the consolidated plants during fiscal 2014. Our tax rate for the quarter was lower than normal reflecting several items including the exploration of statutes for uncertain tax positions and changes in state apportionments and certain state tax rates. Going forward, I would expect our tax rate to be in the 36% to 38% range after non-controlling interest consideration. As a result of the above, our net income for the quarter was $7.5 million versus $23.3 million in the prior year and $27.8 million for the first three quarters of fiscal 2015 versus $67 million in the prior year. Earnings per share for the quarter $1.8 versus $2.86 and $3.72 for the first nine months of fiscal 2015 versus $8.20 for the prior year. I would now like to turn the call over to Stuart Rose, Executive Chairman of the Board for his commentary on the financial results and industry perspective.
Stuart Rose: Thank you, Doug. First of all, I want to start up by saying we again as usual way outperformed the industry on virtually any earnings return metrics, proving once again that our plants are among the best in the industry. We have great locations here in the Corn Belt. The plants we control are 100 million gallon nameplate plants, which are considered the best in the industry, good rail and most importantly, we have great people running our plants and working in our plants. During the quarter, ethanol crush spreads remain steady, well down from last year, but about the same as second quarter. DDG prices were lower. China purchases have slowed down significantly causing DDG prices to decline. Also lower corn prices have caused DDG declines which also affected our corn oil prices, which have also gone down. Going forward, we are running at an earnings rate in the fourth quarter that’s similar to the first quarter, which was about $0.50 a share and again well below last year. DDG market remains tough in China. Crush spreads are similar to what they were – have been relatively steady to what they are now, but again well below last year. Corn oil is still disadvantaged by lower corn prices. In terms of positives, the biggest positive was the news we received from the EPA at the beginning of the week increasing the renewable target for next year to 14.5 billion gallons from 14.05 billion gallons slightly higher than expectations, certainly a positive for our company and it’s a recognition that the current administration recognizes the importance of ethanol and energy independence. Second quarter, we hope – by the second quarter of next year, we also hope to get our capacity up to about roughly 135 million gallons from 150 million gallons from about 115 million gallons we are running this year that would be 15% growth in gallons. We continue to buy back our shares on dips. We are not a company – I have watched a lot of companies buy back their stock at the highs and then when it gets to the lows they have no money left to buy back their shares, we are the exact opposite. When the stock is going up, we leave it alone. When it’s coming down, we are there to support the shares, stabilize the stock and whoever is saying - make a market for the people who don’t want to sell their shares. So, decrease the number of shares and increase the percentages of the people that currently own the shares. During the third quarter, we purchased 280,434 shares at an average price of $49.66. For the year, we purchased over 1 million shares and that’s about 13% of our float. We still have 452,809 authorized at the end of the quarter. And again, when there is dips, that’s when we are there we do not buy at the year-to-date high and we look at our share buyback as something to support the stock during dips, not something to just reduce the count arbitrarily. Also, we have easier comparison starting the first quarter of fiscal ‘16. And then on the negative DDG prices, we expect to remain relatively low. We had a good spike last year with China demand, we are not seeing that right now and also other people we are not the only one raising production, other people are raising production and that could put a lid on crush spreads. In terms of other initiatives, we are still working on our heavy oil initiative. We don’t encourage anyone to buy the stock based on this, but we hope to have a test well in the ground by first quarter, or first half of next year and it has potential to pump out heavy oil, but currently we can’t get to, although at today’s prices it still wouldn’t in our opinion be in a great positive to earnings to the stock, but again it’s something we are working on. We are not spending a lot of money. Altogether, we expect to spend less than $3 million on getting that test well in the ground. In terms of ethanol, we spent about $10 million this year and plan to spend another $15 million to $20 million next year to reach our goal of moving the capacity up to 135 million gallons. It’s a 15% increase in capacity. And again, we look at that as the cheapest, easiest way to increase our capacity. In conclusion, we are drastically outperforming the industry. We did it again getting great plants, great locations, great people. We plan on moving our – increasing our ethanol production and we are working hard at doing that. We continue to buy back shares on dips. So you put it all together, 15% less stock, 15% increase in ethanol production, lower comparisons for next year, makes us extremely hopeful, but next year could be a very good year for our shareholders. I will now leave it open to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Katja Jancic of Sidoti & Co. Please go ahead.
Katja Jancic: Good morning.
Stuart Rose: Hi Katja.
Doug Bruggeman: Good morning Katja.
Katja Jancic: Stuart and Doug, first off, some news outlets have been reporting that you missed the consensus estimate by $0.20. The consensus has been at $0.84 per share, which means you guys beat the estimate, can you comment on what’s going on with that?
Stuart Rose: We don’t – I think we are trying, our PR firm is trying to correct that, but we have no control of where they get their numbers, and it’s just plain wrong. So that’s all I can say is the numbers that you put out there and there is only one other analyst that follows us are certainly, don’t call for a miss and we don’t know what they are talking about to be perfectly honest.
Katja Jancic: Okay, that’s helpful. Second question, Stuart you mentioned increasing production capacity by second quarter of next year. Are we going to see a slow increase, how can we model this, can you help us out a little bit?
Stuart Rose: Sure, Zafar do you want to answer that. Zafar is our Chief Executive Officer.
Zafar Rizvi: Yes. We plan to have very slow increase and our goal is to by the second quarter we will reach close to 135 million gallons.
Katja Jancic: And is there a plan to go beyond that, can you push further?
Zafar Rizvi: Yes, we can. But I think we want to test the equipment to see how – what may be needed to change as we go along so we will – our ultimate goal is to reach to close to 150 million gallon, each location.
Katja Jancic: 250 million gallon?
Zafar Rizvi: No, 150 million gallons, each location, that’s our ultimate goal is.
Katja Jancic: Are you potentially looking at possibly increasing share in the facilities that you do not consolidate?
Stuart Rose: We are and we try to buy what we can, there is very little on the market. We bought I think less than 1% over the last year, but very little. But we are trying. Yes, there is, one of them the own 99%, there is not much left to buy in the other one. We are gradually trying to buy it, but it’s farmers who are happy with the plant, who have made a lot of money on the plant. They have done very well with the plant, they supply corn to the plant, farmers and community people, and so they enjoyed being partners with us and we enjoyed being partners with them. So there is certainly no pressure. But sometimes things come up where people have to sell shares and we are certainly there to buy it, if they are interested.
Katja Jancic: Okay, that’s all for me. Thank you very much.
Stuart Rose: Thank you, Katja.
Operator: Thank you. [Operator Instructions] Our next question comes from Jeremy Hellman of Singular Research. Please go ahead.
Jeremy Hellman: Hi, good morning everybody.
Stuart Rose: How are you?
Jeremy Hellman: I am good. I hope you had a good holiday.
Stuart Rose: Yes.
Jeremy Hellman: In some respects a very simple story that you guys have, so not a lot of questions left to ask, but one thing that was kind of needling in my head, have you guys looked into recasting the company as an MLP or any other similar kind of tax advantage structure?
Stuart Rose: We have looked at everything and our opinion is buyback is the best way to return money to our shareholders and over a long period of years that’s worked out really well for our shareholders, buying on dips, buying when the stock - and we can’t control where the stock goes, but we can buy when the stock is low, when we consider it low and we did do that. An MLP, ethanol is specifically excluded from an MLP, although other people in the industry have pulled out their distribution and things like that. And there is storage and charge your ethanol companies, a pretty high amount to do those things and then drop the MLP or not even dropped it to the shareholders, sold it to other shareholders, which in our opinion and what the market is showing it hasn’t greatly helped the current shareholders. So at this point in time, we still believe the best, most logical way is to buy in shares, when you buy in shares, you decrease your number of shares outstanding, increasing earnings per share for everyone else, decreases supply so when demand does go up, the stock usually goes up pretty well. And over a long, long period of time, that’s what’s worked for us, so I can’t imagine the Board changing it at this time.
Jeremy Hellman: Okay. And then one more just in terms of the EPA regulations, I just want to make sure that I guess, everyone properly understands the, I guess kind of headline number, if you will that I read was a level of 16.93 billion total renewable fuel for this year, going 18.1 billion gallons next year. And then once you back out advanced biofuel requirements and like that’s where you come out to 14 going to 14.5 for corn based ethanol, right?
Stuart Rose: Yes. That’s correct.
Jeremy Hellman: Okay. Thanks. Alright guys…
Stuart Rose: The 14 is what they have previously said. The number this year was – what was the final number for this year for that they - not that this year is over, it doesn’t mean that much, but so it’s a little bit bigger increase in that, 14.05 was what they originally had, it’s they would do and they increased it to 14.5.
Jeremy Hellman: Okay. And even with where prices are, corn prices and fuel prices and so many winds in your face so to speak, it’s really nice to see how profitable the business still is, what I think you might call a trough, so keep up the good work guys.
Stuart Rose: Thank you. And talking about that, again the best plants with a guaranteed demand for our product, the best plants should always outperform the industry that’s our hope and our opinion and we will see what happens.
Operator: Thank you. Mr. Bruggeman, we have no further questions at this time, so I will turn the call back over to you.
Doug Bruggeman: Alright. I would like to thank everyone for listening. I really appreciate your support and we look forward to talking to you next quarter. Thank you very much. Bye.